Operator: Good afternoon, everyone and welcome to today’s Australis Capital Conference Call discussing the company’s Fourth Quarter of Fiscal 2021 and First Quarter of Fiscal 2022. Listeners are reminded that certain matters discussed in today’s conference call, or answers that maybe given to question asked could constitute forward-looking statements that are subject to the risks and uncertainties relating to the Australia’s future financial or business performance. The company undertakes no obligation to update these statements based on subsequent events. A detailed listing of such risks and uncertainties can be found in the company’s SEDAR filings. Note that on today’s call, which is recorded, we will refer to certain non-IFRS financial measures that we believe will provide useful information for investors. The presentation of this information is not intended to be considered in isolation, or as substitute for the financial information presented in accordance with IFRS. Actual results could differ materially from those anticipated in the forward-looking statements. The risk factors that may affect results are detailed in Australis periodic filings and registration statements. These documents maybe accessed with SEDAR. Since we are conducting today’s call from our respective remote locations, there maybe brief delays and other minor technical issues during this call. We thank you in advance for your patience and understanding. I would now like to introduce Terry Booth, CEO of Australis. The floor is yours.
Terry Booth: Thanks, Anna. Good morning, everyone and I apologize for the slight delay. We had some technical difficulties. We got over quite quickly. Welcome to our quarterly results conference call. On the call with me today are Jon Paul, our CFO; Joel Fuzat, the VP of Innovation at ALPS; and Thomas Larssen, the Founder and President of ALPS. We have a lot to discuss, so I best get started right away. In the past few days, we announced our results for both the full fiscal year ended March 31, 2021 and for the first quarter of fiscal 2022. I presume most of you have read through our releases and Jon will provide more detail later on this call. I wanted to point out a few things first. Alright, it took longer than originally anticipated, on which Jon will make a few comments. Let’s now turn to our results and operations. The more than fivefold increase in quarterly revenues year-over-year for Q4 even though coming from a low base reflects the first meeting for revenues this company has recorded since it was spun out from Aurora in 2018. The bulk of these revenues came through 3.5 weeks of ALPS contributions, only 3.5 weeks of ALPS contributions. Furthermore, the quarter also did not include any revenues from GT. What our numbers show is that these two entities alone, AUSA has become a proper revenue generating company. And both entities continue to grow at a solid pace. The key message here is that while we are only at the start of what we believe will be a very exciting growth story we have been able to already fundamentally transform the business with significant improvements to both operations and bottom line. Our new operating name is Audacious. Our brands and cannabis operations will do business under the Audacious name. AUSA/Australis will continue to be our corporate name. Audacious is a name we strongly identify with. Audacious stands for doing things boldly, with a reverence to commonalty. We held benefits – commonly held benefits of doing things in large and noticeable way. That is us, we are Audacious. We believe that the name not only signifies our transition from investment company to operating entity, but as much better description for what we are and how we connect with our stakeholders. In the coming months, you will start to see the rollout of the new name. Culminating in our official launch of Audacious at MJBizCon in October in Las Vegas, where we will exhibit our new name and brands and further communicate our execution ability. I am very pleased with this name and it fits with our objective to ignite, excite and delight our shareholders and stakeholders. Long before we became Audacious when we won the proxy battle in November of last year, we got to work immediately. We had to do a lot of housekeeping – we had to do a lot of housekeeping, which absorbed management time and resources. We replaced the entire board and management, reset the strategy and started to execute on a strategy that I believe is both Audacious yet low risk. We believe that in order to be successful in the U.S. market as a relative newcomer, it is important to have the ability to expand rapidly in a capital light fashion, focus on M&A out of the gates to gain critical mass, but very importantly, focus on accretive or soon to be accretive transactions, invest in building brands rather than carrying heavy CapEx infrastructure, build brands based on products of exceptional quality and consistency, focus on margin and sustainable profitability, be nimble, agile and Audacious, stick to our strategy, stick to our vision, stick to our beliefs. Using these guidelines – guiding principles, we developed a unique, nearly impossible to imitate strategy that de-risks our operations and expansion, while at the same time enables us to expand rapidly without having to invest heavily into cultivation – into infrastructure. Our strategy enabled through our ownership of ALPS sees us enter into partnerships whereby ALPS provides facility services such as engineering, design, commissioning, post-completion maintenance and facility monitoring, therefore, diving in every stage of the build and to grow and the facility operations from seed to sale in a GMP and GACP environment. With certain parameters, we will secure long-term official off-take agreements under a cost plus arrangement. As these facilities are designed by ALPS and built by contractors known to ALPS, we know that cannabis will be of high quality. Furthermore, with a track record of over 100 million square feet of projects that could be developed by ALPS, we know that these facilities will deliver high-quality products at a very low operating cost. In essence, we are being paid to enter new markets, which I am pretty sure is unique in this industry. While at the same time we are able to secure long term supply of low cost cannabis. That’s an Audacious strategy that is also de-risked by the virtue of ALPS sustainability strategy for non-cannabis growth. Having a great strategy is one thing. Being able to execute it is an entirely different thing. We have been executing. Proof and point, our relationship with Belle Fleur, a successful social equity applicant in Massachusetts, the team at Belle Fleur and the minds behind the California brand, Rapper Weed, coming from the music industry themselves, Irvin Whitlow and Rolandy Romelus, two of the founders are exceptionally well connected with impressive roster of influencers. Here is the difference. With other musicians connected cannabis companies, where others pay large sums of money to be affiliated with one of our few celebrities in the hope that their following will rub off on the company, Rapper Weed have not done a single endorsement deal. Rapper Weed is a unique brand that has people from the music industry and lifestyle sectors gravitating towards them and their brands, based in large part on the quality of their cannabis. I can attest to that. People recognize the Rapper Weed is authentic and stellar as do we. Their customers are from the music industry, the legacy cannabis sector, the community and the culture. High impact influencers are vital in communicating our message of quality and consistency of awesome Audacious cannabis products. Belle Fleur, which is brand Rapper Weed, is now entering Massachusetts, where they were brought up and we are moving there with them. Through Belle Fleur, we will have long-term success to high-quality cannabis to fuel the rollout of our brand. We are also looking at other branding opportunities with Belle Fleur and Rapper Weed in Mass and elsewhere. This is a very positive relationship where both parties bring strong complimentary capabilities and networks. We anticipate this relationship to grow over time across multiple markets and a variety of initiatives to help drive profitability and revenue growth. Our acquisition of ALPS is what enabled us to develop and execute on this unique strategy, ALPS of the contract with Belle Fleur, I am sure you all know. ALPS itself, as you can see from our results, is driving rapid revenue growth and is currently active on projects with total CapEx commitment by our clients of over $1 billion. This is just in their first year. The ALPS pipeline also continues to grow with projects under discussion with a total CapEx commitment now in excess of $7 billion. This translates into many millions to the Audacious bottom line, with ALPS netting up to 5% on each ALPS project. Also important to note is that we are not a general contractor risking project costs, but a services company with strong margins as the improvement in Q1 gross margin is starting to show. We anticipate conversion of opportunities into contracts through the coming months further driving revenue growth with these projects and app as the recurring revenue services model launched recently, we anticipate that ALPS will grow into becoming a strong cash flow generator to fuel the expansion of our cannabis business on a global basis. I would now like to hand the phone over to Joel, who will go over unique value propositions of ALPS. And this is what they have been offering our customers for over 30 years. Joel, over to you.
Joel Fuzat: Thanks, Terry and welcome everyone. It’s a pleasure to be able to speak to you all today. As Terry mentioned, ALPS founders have been around for over 30 years. We had a bit of an inter-loop where we were required by Aurora. And during that time, we focused exclusively on supporting the design, build and operational support required for our facilities. But before the acquisition, we were working on dozens of cannabis-specific projects with a total CapEx of $100 million. This really provided us with a great deal of perspective on how numerous operators were approaching industrial scale cannabis production. Anyway, following our management by a year ago, we were able to pivot back to being a full service agency delivering high-quality facilities for both the cannabis and traditional horticultural sectors. It’s worth mentioning that today on the vegetable and fruit side of greenhouse production we are seeing more euros and dollars being invested. And we can recall at any other time in our history, including the total level of support, these projects are demanding. So, ALPS brings the number of things that are very rare in our industry and I’d like to explain those. First and most importantly, we are vendor agnostic. This means we have no vested financial interest in recommending any single vendor to our clients other than achieving the best outcome, the most optimal outcome for design challenges at hand. We do not take a commission on equipment sold, which means our clients know that whatever we recommend, we do it because it’s going to deliver the best outcome to them. This is both based on economics and other clients from engineering-driven parameters. Second, our work begins with a thorough assessment of climatologic and economic realities of each project. This means that no facility designed by ALPS is the same. We do not do cookie cutter work just to save a few dollars at the beginning. We know this is likely to really hurt our customers down the line if we do that. So, we don’t. We truly want to help build a solid foundation for whichever segment of controlled environment we work in, be it cannabis, fruits, vegetables or otherwise. Meaning, we designed facilities to have a profitable economic life for many years, which means they must be designed to not only meet the needs of today, but being able to adapt to the unknown challenges of tomorrow. Third, we focused on delivering the highest quality product against the lowest possible operational costs. Fourth, we also focused strongly on sustainability, which happens to be an inherent feature of our designs. To us, food safety, sustainability and economics go hand in hand. Reducing resource use be that water, energy, water or even people is a key market driver and one that we believe we are better at than others. Sustainability is fast becoming an industry the globe is clamoring for and especially our clients. Fifth, we have experience in a lot of it. Our President, Thomas Larssen has been active for over 35 years and in that time, we have gained a lot of hands-on experience helping our clients grow the best crops. This experience resonates with potential clients as they recognize we are not just the service provider, but a group of people who became – who become partners in client’s project delivering the best outcome based again on our actual real world experience and our lessons learned library speaks to this. As I pointed out, one of the current market dynamics that ALPS is particularly well-positioned for is a global drive towards sustainably produced safe foods, including local for local and vertical agriculture. We increasingly see communities and therefore owners and investors demanding locally produce foodstuffs rather than relying on imports. We also see that investors are increasingly demanding that producers implement technologies to righteously reduce facilities carbon footprint. This has resulted in producers the world is over searching for solution providers that can help bring their carbon footprint down, which of course ties directly back into our promise of lean and efficient operations. And this is the core strengths of the ALPS offering, not only do we developed facilities with significantly reduced resource use, again, such as water, energy and other inputs, ALPS designed facilities are known for their high-quality produce at exceptionally low operating costs and going with ALPS growers benefit on all fronts, food safety, cannabis safety, economics and sustainability and being able to adapt to the variables, which market impact demand. Since our management by over a year ago, we have really achieved a lot. And to highlight just some of this, let’s take a look at some of the projects we are currently working on. As Terry referenced, Belle Fleur, this will be a world leading facility approaching 100,000 square feet of canopy employing the latest and horticultural technology to ensure the delivery of consistent high-quality from BOE genetics for the Massachusetts market. We have completed design work with site work having already commenced. Cann Group, Cann Group was the first cannabis company licensed in Australia operating under extremely high standards. We are working with Cann on a 363,000 square foot high-tech controlled environment greenhouse near Mildura, which is in Northwest Victoria, Australia. Cann was also the first customer to sign up for our APIS compliance and maintenance offerings. The APIS installation in Cann Group’s extraction facility is progressing, while the main cultivation facility is already under glass, with all-in ground services installed and these are major project milestones. Next, we come to Bluehouse Greenhouse. This is a very special 62-acre or 2.7 million square foot vegetable and fruit facility located in California. The design phase is complete and the project is currently in procurement phase. Bluehouse Greenhouse recently announced a partnership with Endurant Energy who will be investing around $30 million in a quad-gen power plant, which provides the facility with energy, heating, cooling, and CO2. This is an excellent example of an ESG project growing high-quality produce for local communities sustainably at low cost and heavily de-risked through diversification of crops and control over power generation and therefore cost as well. Then Vertical Harvest, this is a really interesting project that speaks to an increasing reality of future production. It’s a 200,000 square foot 27-level tall, urban vertical growing facility in Maine. The detailed design phase is nearly completed, including facility engineering. The new facility will have a footprint of approximately one quarter of an acre with a projected output equivalent to that of a 40-acre traditional farm. Aldershot Greenhouses, this is a 200,000 square foot facility expansion contract located here in Ontario. The design phase is complete and the procurement phase is progressing with first construction work imminent. It’s worth mentioning that we did the design on the first facility and this producer like many of our clients has chosen to expand their project with us. This illustrates how many of our customers are with us for life, not just a single project or transaction. We have also successfully completed Phase 1 and Phase 2 the implementation of a computerized maintenance management system under APIS at a 200,000 square foot young plant production facility located in Finland. This is the first completed APIS installation in a world’s leading young-plant producer. Tropica, this is a facility for the cultivation of aquarium plants in Germany. We are currently awaiting the results from the test facility in Denmark, another ALPS project prior to entering into the detailed design phase of the German facility. And at the Life Science Center of McMaster University in Ontario, Canada, we have also completed the detailed design phase for their new greenhouse facility, which enabled students to work in an environment that incorporates the latest and greatest in greenhouse technology for R&D purposes. This project, like our other university projects is another catalyst driving more and more diversified production of crops into controlled environments as opposed to traditional open field production. We have also completed the design phase for a significant client in the Middle East. This will be a massive fruit and vegetable facility growing crops sustainably and what many considered a harsh climate, but one that ALPS sees as just another climate. This project has now entered the procurement phase. And finally, Copperstate Farms one of the largest producers of cannabis in the U.S. In the first phase of this project, we are helping Copperstate upgrade their existing 1.9 million square foot facility with the latest in cultivation and processing technologies. We are additionally supporting the build out of their sophisticated manufacturing facility located in Tempe. APIS installation and services will be provided to both sides including GMP operational SOPs. So as you have heard, we have accomplished a lot in the last year and we continue to engage with clients on a growing number of very interesting projects on a global basis. Our pipeline expands as growers the world over recognized the ALPS leadership in this sector and understand we can help deliver facilities that thrive in every climate in every economic reality our customers are faced with. This being said, I’d like to hand the call back over to you Terry.
Terry Booth: Hi. Sorry about that, guys. I was on mute, blabbing away here. Thanks for the overview of Joel. I love it. I would invite anyone with specific questions on ALPS to use this opportunity later as Joel and Thomas Larssen are on this call. As you can see, what Joel was going through there, we are in many countries. We are talking to many cannabis potentials, certainly the East Coast and America is going to be a place where ALPS will set some great roots, where ALPS is a foundational piece of relation in securing cannabis as well as transformative in terms of revenue growth, at the end of the day, we will be judged by our ability to deliver products to the market that customers want. This is where Green Therapeutics, or GT and our other brands come in. Led by Dr. Duke Fu, GT has established an exceptionally strong brand presence in Nevada, where his products are carried by well over 50% of the dispensers there. The key to the GT success is a combination of a deep understanding of what consumers are looking for, with a science-based approach to cultivation and manufacturing. This has resulted in tsunami and provisions winning multiple coveted awards such as the Jack Herer Cup, the Cannabis Cup and recently, the Las Vegas Cannabis Cup for best extract company. This is one of the elements of what makes GT such a foundational piece for us, exceptional brands based on exceptional quality, while focusing the bottom line. We will take the GT brands across the nation, fueled by our supply arrangements and other partnerships that we look to enter into. Our first expansion will be into states such as California, Missouri, Oklahoma, and Mass. And that’s just the start. And it’s well underway. It’s not too far in the future then you will see in your Sunday papers. Operationally, GT is also held in very high regard. Don’t just take my word for it, but look at some of the partnerships we have announced and are working on. In Nevada, Duke and the GT team have already taken over operations of one facility and are in talks with others who are willing to use their facility for the production of GT and Audacious products. With us generating high-margin royalty-based revenues without having to spend any CapEx, we anticipate seeing more such or similar partnerships that will contribute to growing revenues. Through GT and their stellar reputation, we were able to acquire a 23-acre plot of land in Nevada. What makes this such an interesting property is that we are able to acquire the last remaining water rights in the area. This sets us up to execute on an Audacious strategy for this land. We intend for this to become a cannabis hub, where multiple partners throughout the value chain will use ALPS to help create cultivation, processing and manufacturing facilities. We intend for us to be a partner to our tenants much of the way we are doing with Belle Fleur. This sets us up to expand our operations in Nevada without spending the associated CapEx. We are currently in talks with several potential partners. We are also in the process of transferring our existing licenses to the property. So, we can hit the ground running. In addition to the award winning GT brands, we also have the iconic West Coast brand, Mr. Natural. Mr. Bob Luciano, a legend in the cannabis space as well as LOOS, we are currently preparing the rollout of Mr. Natural products in California and Nevada and subsequently in other jurisdictions such as that. Our goal is to become highly successful MSO. To this end, we are expanding into new territories. California is one market we are very keen on. You can’t – not be in California. It’s difficult to navigate towards profitability. But if you attach the verticals to it in the right partners, California you need to be in. Our latest acquisition, LOOS, is another good example of how we execute in this regard. A back-end loaded transaction based predominantly on revenue and EBITDA related milestones, LOOS brings a brand that resonates with all demographics. Our first products have now hit the shelves in California where we are scaling up. Our first SKUs are 2-ounce shots with 100 mg of THC. To that, we also anticipate launching CBD-based drinks and other SKUs for a variety of markets. Our CBD strategy is being mapped out and will certainly include CBD derived from hemp. America leapfrogged the rest of the world rightfully so, when it removes CBD derived from hemp from the CDSA. Our LOOS products not only pack a punch, they also include a number of ingredients are popular with the health conscious demographic. This is important as we anticipate that to be a part of the fastest growing market segments. While there has been a lot of focus on the beverage segment, we believe logistics are often ignored. The cost of transporting and storing bulky beverage containers will make being profitable not easy in many markets. With our shots, this is different due to their smaller size, but we anticipate these products will do well. Another important aspect of LOOS transaction is that we now have two founders working for Audacious. Anthony and Ben are aligned not only with the future success of LOOS, but of Audacious in general. Between them, they bring years of successful sales and marketing experience in the cannabis industry that our other brands will benefit from as well. Furthermore, with the LOOS acquisition comes a sales force organization, to ensure our products will find their ways down the distribution funnel and into the hands of consumers through front shelf, top shelf and respected shelf of retailers nationwide. What I have just described is just a highlight. Without going into too much detail, we have achieved an incredible amount in a very short timeframe. We completely replaced our leadership team. We resolved legacy issues, including legal proceedings. We have reversed certain transactions that created no value for the company and replaced these with transactions that benefited us immediately through strong revenue growth. We are establishing a rapidly moving and growing MSO that is difficult to emulate and that I believe, we believe, will be very difficult to keep up with. We move fast. We move audaciously. And I think that even in a short period of time, we have proven that we moved more decisively and successfully. I will now hand over the call to Jon who will provide more detail on the financials. Following that, I will return to the go over what you will be seeing to expect from us in the near future. Jon, over to you.
Jon Paul: Thanks, Terry and welcome everyone to our earnings call. I trust most of you have read our fiscal year and in first quarter press releases financials, so I will stick to some highlights. As Terry mentioned, our audit took longer than expected. Baker Tilly, a top 10 audit firm in the U.S., new to the cannabis industry acquired our prior auditor Squar Milner late in 2020. The audit delay was primarily due to valuation and accounting issues for our two complex acquisitions that closed late in fiscal 2021, with related cannabis industry complexities. While the audit led to a trade halt, the delay did not reflect the issue with our operations or our financials. The audit did result in a couple of payroll accounting adjustments, increasing the value of the acquisition and even reducing our net loss. Further evidence of the strength of our financial operation is that we really, unaudited first quarter financials just two days after the year-end audit was completed. Driven by revenue growth, cost reduction, revaluation, favorable settlements and an uptick in the value of our body and mind investment, we reported net earnings of $3 million for the fourth quarter, compared to a $19.4 million loss for Q3 and at $10.6 million loss for Q4 2020. This is a massive turnaround. Driven by the changes in transactions we executed, taken over of the new leadership team. For Q1, we reported a net loss of $9.7 million, driven heavily by a drop in value of our BaM shares, which have since recovered. We believe a more accurate measure of bottom line results is a non-GAAP measure, adjusted EBITDA, which we defined as our operating loss with depreciation, share-based compensation and one-off charges for the proxy battle, cost and settlement charges added back in. The Q4 Q1 2020 adjusted EBITDA loss of $1.58 million was 15% less than the Q4 2021 loss of $1.85 million. Primary drivers were reductions in personnel through replacement of the senior management, reduction of Fintech development, cost and other corporate cost cuts. Our new management team has resolved all disputes with the remainder in process. No additional charges were needed in Q1 as reserves happened in Q4 were fully adequate. AUSA is already dramatically transforming our revenues and margins. Even though we only own output 23 days at the end of fiscal 2021, we more than quadrupled revenues for the whole fiscal year and achieved nine-fold revenue growth as compared to Q4 of 2020. By having out for the full quarter of Q1 fiscal 2022, along without 90% growth over the full prior quarter, as it continued to scale up after it’s been up from over a year ago, revenues of $1.7 million for Q1 nearly tripled the revenue for all of fiscal 2021. ALPS revenues are very profitable, allowing us to achieve 62% gross margin, very strong in the cannabis industry. We tapped $1 million in quarterly margin for the first time ever in Q1. Both previous quarters at best, had gross margin of only around $50,000. GT results, we consolidated once the anticipated license transfer approval is completed by the Nevada Cannabis Control Board. Until that time, we earned the management fees from GT. The company own both ALPS and GT for the whole fiscal year. Pro forma revenues would have been $5.3 million, over seven times the revenue reported for fiscal 2021. Pro forma trailing 12 months revenue as of Q1 2022, would be $7.1 million, 33% growth quarter-over-quarter, by ALPS scaling up and its launch of APIS as Joel mentioned. In just one quarter in Q4, we created a much stronger company by adding ALPS and GT. Total assets and shareholder equity doubled in Q4 over Q3. Net working capital still remains strong at $10.4 million as of Q1, compared to $16.4 million as of Q4, with most of the decline due to paper losses on the BaM stock, which has since rebounded. As of June 30th, total assets were $74.5 million with shareholders equity of $52.4 million. As Terry said, this is just the beginning. But it validates our decision to transform from an investment to an operating company. With the growing pipeline, it helps and with the launch of APIS growth initiatives underway at GT, the launch of our new brands, pending license applications and many more initiatives on the go, we are very well positioned to drive continued growth and improve our bottom line. Thanks for your interest. Terry and I will be available for financial questions at the end of this call. With that, back to you Terry.
Operator: Mr. Booth, you might be on mute.
Terry Booth: Thanks very much Jon and it was good stuff. As I have said, we at AUDACIOUS have only just gotten started. Looking forward, there is much to expect from us, because of who we are, we sit around the table with many interesting people and companies and are able to identify many compelling opportunities. Between our C-suite members do Leah John and myself as well as other members of our team, we have a very deep network that has enabled Audacious to be in the mix, we have number of high potential opportunities. In some cases, we may not have the highest bid, however, our counterparties recognize that we perhaps offer much greater upside potential through operational excellence. They may not get from other interested parties. On one such deal, we believe we will announce shortly where our bid was accepted over that from much larger parties. At any given point in time, we are looking at over 50 opportunities. The American cannabis market is still nascent. When acted upon, we believe these will create significant value. These are not all M&A transactions, the opportunities we look at can relate to branding and other commercial partnerships, assets access to unique technologies, or otherwise commercially valuable initiatives such as distribution, retail and cultivation, etcetera. The common factor is that all the opportunities are assessed according to strict metrics. However, interesting an opportunity may be if it doesn’t meet our guidelines, we will not act upon them. The ones we decide to act upon are those we expect to deliver the greatest value for the company and its shareholders. The U.S. market is characterized by each jurisdiction having its own regulations. This means that each market has an optimal entry point. By that, I mean that each market has a sweet spot along the cannabis industry value chain, where we believe we will be generating the highest returns. We have developed a very sophisticated model that informs what the optimal method of entry in each market is. This entry can be through a partnership like the one we have with Belle Fleur. This can also be through a licensed application or in some cases through an acquisition or participation. Furthermore, each method of entries will have its own price point. We take all these factors into consideration. And once decided we act fast as we have shown with the ALPS, GT and LOOS transactions, as well as with the Belle Fleur and 3 Rivers partnerships. So, what can you expect from us going forward? We have already made some statements around this. For instance, we are looking entry California more broadly than just through our LOOS brand. To this end, we are in advanced discussions and anticipate announcing within the coming weeks a transaction to acquire a dispensary. I am also pleased to share that we have commenced selling LOOS products in California, with products scheduled to hit the shelves shortly in the following week. We will continue to expand our footprint and we will be targeting Southern California including out the LA area. We have worked out multi-prong strategy for entry and further expansion into California with LOOS and the pending retail transaction only our first steps. Other opportunities that are advancing through our process relates to further expansion into the Eastern United States. Brand new partnerships, distribution and another value add opportunities along the value chain. We intend to be in all markets where we could operate profitably with strong competitive advantages. We are targeting states such as New Jersey, New York, Michigan, Connecticut, Pennsylvania, and others. There are other initiatives that wants to execute upon will take the company to the next level in terms of visibility, traction success, and above all growth, rapid growth. We have started on the growth curve. As Jon pointed out for our first quarter, we recorded close to 4,000% on a pro forma basis compared to where Australis was a year ago. I am very proud to be leading this superbly talented team of cannabis professionals who are making this happen, a team that brings tons of experience in key areas, such as marketing, sales, finance, capital markets, communications, cultivation, production, science, R&D, and other areas. I strongly believe this team has what it takes to execute very successfully. And the first proof points are there. In short, it’s good to be us, is good to be AUDACIOUS, is good to have a team that acknowledges the community and culture of cannabis. It is great to be a member of a team that gets it. AUDACIOUS has only just begun to some extent to look out. We have Australis already in the six months made tremendous strides on a rapid upward trajectory. I will now hand the call back to the operator to open the floor for questions. Thanks for your time and your energy. Operator, over to you.
Operator: [Operator Instructions] And we will go to Michael Edwards with R. E. Edwards & Associates.
Michael Edwards: Hi, thanks for taking my questions. I have two quick questions actually. Being that it’s still rather early in the APIS stage, is it fair to say that all cash flow that’s coming quarterly, there is no APIS cash flow at this point, is that accurate?
Joel Fuzat: There is – if I take that and there is a little bit of APIS cash flow coming in. But that will – that continued, right now I mean it’s still been an investment spend area as we had developed the APIS application. But they are beginning to get contracts. And those are beginning to contribute positively to our gross margin.
Michael Edwards: Okay, thank you. And the second question has to do with Massachusetts and the deal with Belle Fleur. Thank you for providing the color on the canopy space of 10%. That was a big question that I had that was answered in the press release a few days ago. But in a recent interview that Terry Booth did with Ben Zynga, he mentioned that with the Belle Fleur deal, we would have the right to build the manufacturing facility. Is that manufacturing facility for processing. Is that going to be owned by AUSA or is that owned by Belle Fleur, and we are just operating within it. I was just trying to get context of assets?
Terry Booth: Sure. Yes, we are going to partner with Belle Fleur on that. We expect a 51% ownership. So, we are going to book the top line on it. We also expect to contract to build it, that we have had made public, what’s not been finalized yet, we have to get around some regulatory hoops. But from what we can understand from our lawyers and mass, it’s not a difficult thing to do, because the majority of the revenue in Belle Fleur will come from their role Rapper Weed. And so as long as we don’t cross the lines of the social equity rules, we can be a 51% owner. They certainly want our products from their cannabis and that they are our partners. And we will work out the details in the short-term. But yes, it’s we will have a majority stake in the manufacturing facility if all goes well.
Michael Edwards: That’s great. Thank you for the feedback. And then my last question has to do with the website. I know ALPS has kind of been owned for five months to six months and I know it’s kind of the crown jewel of our strategy. When can we expect a website update of kind of everything that we actually have within our umbrella?
Terry Booth: I can take that. With the name change, that created a number of website changes with moving into different states, we have got to look at different transactional type of features. With the change in management and change in the Board, we need to look at the investor side of the website, which I think has been updated. So, we are working on it. We are all over it. We need the proper links installed, not only for ALPS, but it’s a great question, because it brings me to the integration aspect of this. I don’t want to run around with my head cut off again. Buying companies, and then not integrating them properly, and then buying more companies and not integrating them properly that causes grief. So, integration is going to be a big part of the go forward. And certainly websites are included in that. I don’t know, sorry, I don’t really know where the ALPS connection website is that, I know that ALPS were updating their website, through similar contractors as ours. So, it’s just a matter of connecting the dots, but it won’t be long. It’s, as I have said – as you said, three months or four months, we have had ALPS under the umbrella, there has been many, many changes and many plans put forth in the IT world. And we do believe we would probably have the right people to get that done.
Michael Edwards: Thank you all.
Operator: We will go next to Jack Bennett [ph] with Goldstein Holdings.
Unidentified Analyst: Good morning. I just wanted to find out exactly when the shares will be trading back on the Canadian exchange. And also one of the North, your offices that 376 East Warm Springs, are still going to be open, or are they shuttered permanently? Thank you.
Terry Booth: But as far as trading of the stock, we expect very soon, the dangerous notified us on Friday that we needed to get the finalize to 1, 2022, in and we did and after that as well it becomes a BC exchange thing which goes to the OCS and Ontario and it should be no more than 48 hours from today. So, hopefully tomorrow, maybe today, we don’t know for sure. But it’s we have checked all the boxes to get re-trading. With respect to the address, is that the one in Nevada are you talking about?
Unidentified Analyst: Yes.
Jon Pau: Yes, this is Jon. Yes, no, our office in Nevada has never been – I am actually just speaking from there right now. Yes, still, we always have been open for business.
Terry Booth: Yes. None of our offices were shut with [indiscernible] and it was just a cease trade order relative to a late filing. Something we knew we are probably coming down the pipe when the audit service changed hands, a lot of different requirements came in and I can’t say anything, but great things about Baker Tilly, and how they helped us transition to a different QC process. Remember, it’s a top 10 audit firm that we were just audited by and we passed the grade. So, I am pretty proud of the team for putting it all together.
Joel Fuzat: Yes, I would also echo I mean, they are certainly gave me a much larger firm with a top 10 in the U.S. and new to cannabis. But just to speak, I mean they are – they have been very successful at taking up some big MSOs in the audit in the U.S. cannabis space in a very short period of time.
Operator: [Operator Instructions] I was just confirming there are no further questions in the queue. Oh, I am sorry, it looks like we do have Michael Edwards who has been re-queued.
Michael Edwards: Thank you. I will ask another question. In regards to Arizona and I know that that kind of facility is kind of moving forward based off the prior conversations. Is there a kind of like an estimated timeframe on when we would have some dedicated canopy space in Arizona, or is that part of that deal, or is that something that’s still being worked out? Thank you.
Jon Pau: That’s still being worked out with them. We want to know – on one hand, it’s not ready to grow cannabis to our quality or wasn’t getting a couple of months ago. And then on the other hand, we have to be – we have to navigate through the regulatory requirements in Arizona before we officially look for canopy space. Are we going to look for canopy space with them, of course. It brings in competition issues as well. There are some more applications coming into Arizona. So, we are both sort of sitting looking at each other, but we are doing our work to make their facility awesome. And that’s step one. Step two would be to negotiate canopy space.
Michael Edwards: Got it. Thank you.
Operator: No further questions at this time.
Terry Booth: Alright, thank you everyone for joining the call again. Apologize for the technical difficulties early. It’s time to get rocking, rolling. I apologize for the seat race. I mean, it was a – that was frustrating, but you have got some great stuff in the pipe. Keep your eyes at us. We are going to get our liquidity going. We are going to get this thing moving again. And everything is rosy on our side. All the best, have a great day.
Operator: And that concludes today’s conference. Thank you for your participation. You may now disconnect.